Operator: Good morning. Welcome to NetSol Technologies Fiscal Fourth Quarter and Full Year 2020 Earnings Conference Call. On the call today are Najeeb Ghauri, Chairman and Chief Executive Officer; Roger Almond, Chief Financial Officer; Patti McGlasson, General Counsel; Naeem Ghauri, CEO of OTOZ; and Asad Ghauri, Global Head of Sales. I would now like to turn the call over to Patti McGlasson who will provide the necessary cautions regarding the forward-looking statements made by management during this call. Please proceed.
Patti McGlasson: Good morning, everyone and thank you for joining us. Following a review of the company’s business highlights and financial results, we will open up the call for questions. Before we begin, I would like to address the temporary delay in our filing and reporting, which was originally scheduled for Thursday, September 24, 2020. As stated in the press release issued last week, the delay was the result of additional time being needed by our auditor. Fiscal year ended June 30, 2020 was the first annual auditing period reviewed by our new firm, BF Borgers. Through this process, additional and first time reviews were conducted, which ultimately necessitated an extension beyond the period allocated. That said, we are pleased to report that after a comprehensive audit process, our financial statements were found to be satisfactory and no material changes were required. Yes, I am sorry I will now provide the necessary cautions regarding the forward-looking statements made by management during the call. Please note that all the information discussed on today’s call is covered under the Safe Harbor provisions of the Private Securities Litigation Reform Act. The company’s discussion may include forward-looking statements reflecting management’s current forecasts of certain aspects of the company’s future and our actual results could differ materially from those stated or implied. These forward-looking statements are qualified by the cautionary statements contained in NetSol’s press release and SEC filings, including our Annual Report on Form 10-K and quarterly reports on Form 10-Q. I would also like to point out that we will be discussing certain non-GAAP measures. The press release issued earlier today contains a reconciliation of these non-GAAP financial results to their most comparable GAAP metrics. Finally, I would like to remind everyone that this call will be recorded and made available for replay on our website at www.netsoltech.com and via a link available in today’s press release. Now, I would like to turn the call over to Najeeb. Najeeb?
Najeeb Ghauri: Thank you, Patti and good morning everyone. As you can see from the press release this morning, we are continuing to work our way through the COVID-impacted environment. While we are still facing a number of industry and macroeconomic headwinds, during the fiscal fourth quarter, we recorded meaningful sales milestones, drove incrementally, improved results, and were able to generate another year of profitability. Most notably, our revenue, gross profit, operating income, and EPS all improved sequentially over Q3, which was driven by mildly improved sales environment as well as cost control structures we implemented in response to the pandemic. As many of you listening this morning will remember, we entered fiscal 2020 coming off a record top and bottom line performance and the strongest position in our history of 2019 results. At the same time, we introduced a multi-pronged growth strategy design during regular economic conditions to diversify and expand our total and recurring revenue stream ultimately propelling NetSol to its next phase of commercial prosperity. However, over the past few months, we like most businesses, globally were forced to adapt to a radically different working environment than we had planned. As an international organization, NetSol directly witnessed the influence of COVID-19 and quickly expect through many of our operations around the world, impacting families, our employees, communities, and the global economy. During this period of increased uncertainty, we have closely monitored the evolving situation through all available information channels, including the latest news reports as well as updates from the CDC, the World Health Organization, and other regulatory authorities. Our operations in the second half of this year were meaningfully impacted by the global slowdown occurring in many other verticals we serve, including the greater leasing, finance, and automotive industries. Despite these unfavorable conditions, we have continued to forge a path ahead, and in the meantime, have taken decisive actions to reduce costs. We also built up a strong cash position over the years, which gives us additional backing going forward. Of the sales and implementation side of things, last month we also went live with the first North American customer, SCI in Canada for our subscription, cloud-based NFS Ascent offering, which we expect to leverage towards additional agreements in the future. At the same time, our European operations are also continuing to perform nicely. From a total contract price perspective, some of the highest value opportunities are currently coming out of our NetSol European region. Furthermore, NetSol North America or NetSol European region combined now represents a larger pipeline of contract opportunities compared to Asia-Pacific region, which is a major achievement in the short amount of time. Overall, with several COVID-driven purchasing delays beginning to move slowly ahead, we also have line of sight into a significant pipeline of opportunities in the coming year. It continues to be a tough market, but the ice seems to be thawing so to speak. For the rest of today’s discussion, I will provide a high-level recap of the past quarter and more recent updates before spending the rest of our discussion on our current market outlook through the lens of our three-pronged growth strategy. Prior to do that, I will hand the call over to our CFO, Roger Almond, who will walk us through the financial results for the quarter and year. Roger?
Roger Almond: Thanks, Najeeb. Turning to our fiscal fourth quarter and full year 2020 financial results for the period ended June 30, our total revenues for the fourth quarter were $13.6 million compared to $17.3 million in the prior year period. The decrease in total net revenues was primarily due to a decrease in total license fees of $2.3 million and a decrease in total services revenue of $1.8 million, which was offset by an increase in total maintenance fees of $312,000. For all of fiscal 2020, total net revenues were $56.4 million compared to $67.8 million in fiscal 2019. The decrease in total net revenues was primarily due to a decrease in total license fees of $12.2 million and a decrease in total services fees of $2.7 million, which was offset by an increase in total maintenance fees of $3.4 million. Total license fees in Q4 were $1.2 million compared to $2.5 million in the prior year period. For the full year, total license fees were $4.6 million compared to $16.8 million in fiscal 2019. The decrease in license fees for both the quarter and year was primarily due to the absence of meaningful contributions from our 12-country, $110 million contract as well as other contracts to implement our NFS Ascent platform, which had a more pronounced contribution in the prior year period. Total maintenance fees in Q4 were $4.7 million compared to $4.4 million in the prior year period. For the year, total maintenance fees were $19 million compared to $15.5 million in the prior fiscal year. The increase in total maintenance fees for the year was due to the start of new maintenance agreements from customers who went live with our products during fiscal 2020. We anticipate maintenance fee to gradually increase as we implement both our NFS Legacy product and NFS Ascent. Total services revenue for the quarter was $7.7 million compared to $9.4 million in the prior year period. For the full year, total services revenue were $32.9 million compared to $35.5 million in the prior fiscal year. The decrease in total services revenue for the year was primarily due to a decrease in revenues associated with new implementations and change request. Services revenues derived from services provided to both current customers as well as services provided to new customers as part of the implementation process. Total cost of revenues was $6.6 million for the fourth quarter, a decrease of $1.8 million from $8.4 million in the fourth quarter of 2019. For fiscal year 2020, cost of revenues was $29.4 million, a decrease of 11% from $32.9 million in fiscal 2019. The decrease in cost of revenues for the year was predominantly driven by a decrease in salaries, travel, and depreciation and amortization. Gross profit for the fourth quarter of fiscal 2020 was $7 million or 51.8% of net revenues compared to $8.9 million or 51.5% of net revenues in the fourth quarter of fiscal 2019. Gross profit for fiscal 2020 decreased to $27 million or 47.8% of net revenues compared with $34.9 million or 51.4% of net revenues in fiscal 2019. The decrease in gross profit for both the quarter and year was primarily due to a greater rate of decrease in total net revenues compared to the related cost of revenues. Operating expenses for the fourth quarter decreased 26.4% to $5.9 million or 42.2% of net revenues from $8 million or 46% of net revenues in the same period last year. Operating expenses for fiscal 2020 decreased 7.7% to $25.9 million or 45.9% of net revenues from $28.1 million or 41.4% of net revenues in fiscal 2019. The decrease in operating expenses for the year was primarily due to decreases in selling and marketing expenses, salaries and wages, and research and development costs offset by an increase in general and administrative expenses. Turning to our profitability metrics, our net income from operations was $1.2 million for the fourth quarter, an increase from a net income from operations of $946,000 in Q4 last year. Net income from operations for the full year was $1.1 million, a decrease from net income from operations of $6.8 million in fiscal year 2019. Our GAAP net income attributable to NetSol for the fourth quarter of fiscal 2020 totaled $1.2 million or $0.10 per diluted share. This compares with net income of $2.5 million or $0.30 per diluted share in the fourth quarter of last year. GAAP net income attributable to NetSol for fiscal 2020 totaled $937,000 or $0.08 per diluted share compared to net income of $8.6 million or $0.74 per diluted share for fiscal 2019. The decrease in GAAP net income attributable to NetSol for both the quarter and year was primarily due to the decrease in revenues previously mentioned at a greater rate than related costs to support those revenues. As I mentioned on previous calls, it’s important to point out that included in our net income this quarter was a gain of $327,000 on foreign currency exchange transactions compared to a gain of $3.8 million for last year. For the full year, we experienced a gain of $299,000 compared to $6.3 million for all of 2019. Because we operate in several geographical regions, a significant portion of our business is conducted in currencies other than the U.S. dollar. A decrease in the value of the U.S. dollar compared to foreign currency exchange rates generally has the effect of increasing our revenues, but it also increases our expenses denominating currencies other than the U.S. dollar. Similarly, as the U.S. dollar gains strength relative to foreign currency exchange rates, it tends to reduce our revenues, but it also reduces our expenses denominated in currencies other than the U.S. dollar. We plan our business accordingly by deploying additional resources areas of expansion while continuing to monitor our overall expenditures given the economic uncertainties of our target markets. Moving to our non-GAAP metrics, our non-GAAP adjusted EBITDA for the fourth quarter fiscal 2020 totaled $2 million or $0.17 per diluted share compared with non-GAAP adjusted EBITDA of $4.4 million or $0.38 per diluted share in the fourth quarter of last year. For the full fiscal year 2020, non-GAAP adjusted EBITDA totaled $4.3 million or $0.37 per diluted share compared with $12.9 million or $1.11 per diluted share in fiscal 2019. Please see the reconciliation schedules contained in our earnings release for our revised calculations of adjusted EBITDA for fiscal year ended June 30, 2020. Turning to our balance sheet at the quarter end, we had cash and cash equivalents of approximately $20.2 million or approximately $1.71 per diluted common share, which was up from $17.4 million or approximately $1.49 per diluted common share at June 30, 2019. One final note before I hand the call back over to Najeeb, on July 30, 2020, NetSol’s Board of Directors approved a stock repurchase program that authorized potential repurchases of up to $2 million of its common stock over a subsequent 5-month period ending on December 24, 2020. The planned repurchase program will also be subject to an additional 6-month extension at the discretion of management. Although no shares were repurchased during the fiscal year subsequent to the fiscal year end, we have purchased 147,052 shares at an average price of $2.16 per share. Under the program, the company may repurchase its common stock in the open market from time-to-time, in amounts at prices and at such times as we deem appropriate, subject to market conditions and federal and state laws governing such transactions. NetSol expects to fund the repurchase with its existing cash balance and cash generated from operations. That concludes my prepared remarks. I will now turn the call back over to Najeeb. Najeeb?
Najeeb Ghauri: Thank you, Roger. And before I begin, I would like to provide some sales commentary that applies to our global operations as a whole. After that, I will be recapping some of the major operational highlights from the period within our three major operating regions respectively. For the past 5 plus months, our global teams have continued to operate largely in the remote capacity. As I mentioned before, our team has responded to this challenge and performed capably through this trial. Additionally, our maintenance and support staff has been operating on a full schedule for all international customers. Our teams are still very busy in conducting virtual demos, presentations, and negotiations. However, in the unpredictable environment we currently find ourselves, there have been understandable delays in decision-making, from potential new customers, both for our flagship and for the Ascent and OTOZ mobility. Additionally, despite the fact we are a technology first organization that does not mean there isn’t a human element to our sales process and our operations. As an industry leader, with two decades plus of domain expertise, many contracts we have won in years prior have helped us to win additional business or renew contracts later on is still an important consideration. While the future remains uncertain, we are cautiously optimistic that we are returning to some sort of normalcy. As an example, returned to [ph] our offices, where I have spent a great deal of time recently. Employees have started coming back to work. Right now, we have about 15% of 1,400 employees operating in/off on a rotational basis, and we hope to gradually increase those numbers from there. One other note on the current sales outlook as one might imagine with a number of the projects we have been working on, many of which we had anticipated going live around this time, some timelines have been pushed out for good reasons. Our implementation teams are working around the clock to stay on schedule, but we have seen two specific inputs that extended our delivery. The first is the obvious. While we have been able to adopt to a remote work environment, it has understandably placed demand on our customers that have necessitated longer turnaround time for our requests. The other reason is that we have seen an increase in the size and scope of the overall work being added in many big-ticket projects. The positive to this wrinkle [ph] is that we are continuing to recognize larger contract values based on the greater scope of work. Change requests are continuing to provide a material positive impact to our existing operations. For many other organizations, handling these additional requests in the current environment would be crippling. At NetSol, we are proud of what that means, our ability to adapt even in the toughest of times. Now with that overview finish, I will get into some updates on our main operating regions. Starting with Asia Pacific, with our previously announced 12-country largest value contract with Daimler Financial Services, we continue to make considerable progress along multi-year, multi-country limitation [ph] roadmap. Despite the challenges associated with completing and implementation amid COVID-19, NetSol’s phenomenal delivery team in Lahore first time remotely went live for Daimler in Malaysia, which was a major accomplishment for our team. Moving forward, the most near-term go live events to come will be in Singapore and Thailand. We had hoped for go live events at both of these locations by now, but outside circumstances very similar to the scenarios I just described have pushed out the timelines.  Most specifically, we are in the process of working through an additional scope of work and change requests. That said, we are in the final stretch in both implementation and are looking forward to making the official go-live announcements in the coming weeks. We also have more go-live events further on the horizon for areas that we are currently partially operational, but we expect those announcements to be made in subsequent calendar years. In all, we are continuing to proceed under budget and on schedule. Moving next to our European operations, or NTE, a big push in this region as well as North America has been our cloud-based offerings. Late in 2019, NetSol announced introduction of a new subscription-based pricing option for all its cloud-based products and services, which is meant to work as a substitute but not a replacement to the traditional license model. Along with other value-based vectors built into the model, the new pricing plan is intended to decrease initial buying-in cost for new customers and provide an alternative to current customers seeking lower software usage and maintenance costs. Subscription-based pricing is being offered on a monthly, quarterly, or annual basis. Europe and North America are major areas of focus for us in the next fiscal year, and we believe this new or flexible pricing option will be a great way for us to expand our additional footprint. As an example, in April, we signed a contract with a leading bank in the UK for a cloud implementation of our NFS Ascent retail platform, which included our point-of-sale solution and CMS. This agreement was our second sale of Ascent in the region and was still early they are seeing continued interest in our SaaS offering, which should hopefully materialize into new deals in fiscal 2021. With the two contracts in hand, we are continuing to make progress on implantation and are working through a handful of additional requests as previously mentioned. Finishing with our North American operations or NTA, first in August, we announced the appointment of Peter Minshall, our new Executive Vice President of NTA, a role that is responsible for the entire portion of NetSol’s business operations. As far as his duties, Peter will also work closely with the company’s global field organization and product delivery team. We are really excited to have Peter to come onboard. He brings over three decades of International experience in the financial services industry and with an accomplished background at major BlueChip enterprises with specific sector expertise in the auto finance space. Prior to joining NetSol, Peter held various senior leadership roles with Daimler Financial Services, most recently serving as Director of Finance or Operations with Diamler’s Africa and Asia-Pacific division,  where he managed leasing and finance operations for a team of 250 across 11 different markets. Before coming on full-time, Peter has been performing in a consulting capacity for NetSol as well. So, the transition has been a smooth one to say the least. As I have just mentioned, North America represents a major expansion opportunity for NetSol, and we believe Peter has the right acumen to lead our NTA team to new heights in this new growth market. His hands-on experience in many areas of business development, different operating and licensing models, as well as international financial controls have been well prepared to bring in new business through our differentiated offerings, including our SaaS and cloud-based deployment options as well as generate add-on sales from our other major customers in our other international markets. His appointment after coming from various leadership positions at a major customer is also a welcome tested endorsement for our standing in the auto finance community. Moving to sales, more recently in August, we announced the successful go-live with our NFS Ascent offering, marking the first official go-live for Ascent in North America. The implementation was performed for SCI Lease Corp., a Canadian-based national automotive leasing company and also representing the first cloud and SaaS-based agreement for Ascent in this region. The deployment was achieved in the record 8 months in largely a remote work environment, which is a testament to the work of our teams as well as the flexibility we now have in a cloud-based deployment. I will provide some brief updates on our progress within our three-pronged growth strategy. As a reminder, these are the three key areas that we are necessarily focusing where we believe they can generate outsized results and propel our business to its next phase of growth. First, continued focus on the organic growth of our current core business; second, innovating in new areas and looking to create partnerships where our technology and personnel can be a major benefit to other organizations as well as our own. And third, exploring inorganic growth opportunities, where it makes sense. Now, beginning with the first prong, our core business, as I mentioned in my opening remarks, our business, along with the rest of the leasing, finance and automotive industries, is largely being put on pause as customers delay major purchasing decision in the phase of an uncertain economic environment. However, I also noted at length we are experiencing increased interest in our core solutions from some new Tier 1 captives in North America and Europe and have also seen an increase in the overall company pipeline as we come to the end of a number of pause a prolonged sales cycle. At this point, I will now hand the call over to Naeem Ghauri, CEO of OTOZ to walk us through our additional growth areas, as well as to provide an outlook on our business in the near-term and then he will lead to the Q&A session. Naeem?
Naeem Ghauri: Thank you, Najeeb. I will start with OTOZ. For those of you who are less familiar, OTOZ is a NetSol subsidiary and a digital platform that helps auto manufacturers, auto captives, fleet owners and startups to launch, orchestrate and scale mobility businesses. The OTOZ platform is built on a cutting-edge technology stack, which comprises of cloud-native architecture, micro services, AI, machine learning and blockchain. To-date, our team has grown to over 40 individuals across 7 nationalities. Our entry into the new smart mobility space is a result of a strategy that we embarked upon 18 months ago. And it comes at a defining moment for the automotive industry globally, but also specifically for the U.S. We have witnessed a shift in auto ownership in the 20 to 29-year-old demographic. These are younger people, more and more of whom are becoming part of the gig economy and our load to longer term commitments, surrounding full ownership of cars. We have seen similar trends of accelerated adoption with the music and entertainment industries, where downloads and streaming services have completely disrupted ownership of DVDs and CDs. Car ownership comes with a much bigger sticker price and costly maintenance over many years, while being a very fast depreciating asset. This model is ripe for disruption in adoption of on-demand and subscription products that provide the consumer the flexibility to use the car as needed, without the responsibility of full ownership. Every trend and in-depth study on the future of car ownership indicates not only a surge in adoption of on-demand mobility and flexible ownership around products such as monthly subscriptions, but also that car ownership is heading in the same direction as have recently been minted paradigms in music and entertainment. OTOZ has positioned itself firmly in this quickly evolving space as a white label technology platform that enables mobility operators to deploy fast out-of-the-box fully cloud-native solutions without the need for heavy upfront licensing and customizing investments. It is sold purely as a SaaS product that facilitates companies of any size to be in business through rapid deployment and low upfront costs. Essentially, OTOZ is a mobility orchestration system. It is a matchmaking platform that connects providers of cars, be it car dealers, manufacturers, finance companies or fleet operators, with consumers of mobility who are looking to use a car for an hour a day, week, month or years. OTOZ is able to function as a dynamic ecosystem of bringing providers and consumers of our mobility services in one unified and seamless super app. Consider the engine that will help build new giant businesses that will provide cars or mobility as a service rather than a product across the globe for thousands of operators that are getting into the space. Mobility on demand is the fastest growing segment in the auto space globally today. It’s disruptive role in the industry is similar to the disruption of the internal combustion engine as a result of EV Innovation. We are now entering into mature sales opportunities with a number of tier organizations that are evaluating the OTOZ platform, which has been fully live with our first client as Drivemate in Thailand since June 2020. We see some of these opportunities turning into agreement and look forward to making further announcements soon. With that overview of OTOZ, I will now discuss briefly our remaining growth areas as well as provide a brief outlook for our business. Moving to the other half of NetSol’s second growth area, strategic partnerships, while I can’t share any specific details in that area on today’s call, what I can share currently is that we are working with some of our existing large customers in an effort to align strategically for mobility-related offering. For our third and final growth area, we are continuing to evaluate opportunities in the marketplace that makes sense in being highly accretive and complementary to our business. At this time, we have no updates to report. Looking ahead to fiscal 2021, we have many reasons for cautious optimism. We have made encouraging progress in expanding our sales footprint in North America and Europe, driving year-over-year growth, respectively and also make key leadership additions to head up both regions. As the global operations conservatively picked back up, we will look to regain the prior year’s momentum and resume our plans for diversified progressive growth strategy. NetSol remains a digital-first and SaaS-focused organization and will continue to lead with our technology to deliver innovative ways to help our customers improve their operations today and prepare for the many disruptive challenges of the new mobility economy. Finally, I would like to take this time to publicly thank our employees, partners, customers, investors and other key stakeholders for the continued support of NetSol through this very difficult period. For everyone listening today, I hope you and your families remain safe and healthy during this challenging time. With that, I will open the call for questions. Operator?
Najeeb Ghauri: Thank you for joining us today. I especially want to thank our investors for their continued support, our loyal customers and our dedicated employees for their ongoing contribution. I look forward to updating you on our next call in November for Q1. Thank you. Have a good day. Operator?
Operator: Thank you. Thank you for joining us for NetSol’s fiscal fourth quarter and full year 2020 earnings call. You may now disconnect your lines. Thank you.